Suzanne Thoma: Ladies and gentlemen, welcome to our annual results presentation. Welcome to everybody here in the room. Welcome also to the participants who are here virtually. We are very pleased to provide you a very good result for 2024. This result in 2024 already mirrors the effect of the implementation of the Strategy 2028. It also mirrors the industries that we are working for. We call these industries essential industries. Why are they essential? They are essential because they cater to the basic needs of a growing population. Worldwide, our population is growing. And we have, thankfully, more and more people moving into the middle classes. These people need more energy. They need more and cleaner water. They need access to base chemicals and also to green minerals. That is what we are doing. We are making these industries better, more efficient and cleaner. And with that, we bridge the needs of prosperity with the needs of a sustainable society. And these essential industries, they are growing structurally. And this helps us in our results in 2024, in 2023, and it will also help us in 2025. Essential industry bridging prosperity and the need to reduce the ecological footprint, these are industries that are growing continuously, and they are a building block of Sulzer's resilience. We have several building blocks and one of the building block is that we are in this structurally growing market. So what are we reporting on? Very quickly, our CFO, Thomas Zickler, is going to speak about that in more depth. We are reporting on double-digit growth in sales, double-digit growth in order intake, a good step forward in our profitability. And we are also reporting on a company that is financially very solid and keeps becoming stronger also financially. The results for sales, we have had CHF 3.5 billion sales in 2024. That is a significant growth over last year, as said, double digit as was the order intake. Of course, we are reporting in Swiss francs. And so we were still a little bit hampered by the increasing value of the Swiss franc, less than in 2023. There, the Swiss franc increased by 8%. This time, it was 3%. Had the Swiss franc remained stable, we would almost have touched the CHF 4 billion order intake. EBITDA, CHF 436 million, strong improvement in profitability. Now if you look back at Sulzer over the last 2 years, what is it that we did? Over 2 years, we grew 25%, but we only have 5% more employees. We grew 25%, but we didn't open a new plant. We are producing within our existing production facilities. And as a result, of course, profitability goes up. And what also goes up, a very important parameter for us is the return on capital employed. You will hear more about that later. If we look at cash flow, yes, we had a little bit some growing pains in the operating net cash flow, some more receivables that the strong sales in the fourth quarter, then that led to a lot of receivables that have only been paid in January and February. And of course, we're also paying more taxes given the fact that we have a higher profit. Here, you see the relative improvements then almost 11%, 2x EBITA, almost 25% up, 200 basis points in return of capital employed and cash flow slightly -- operating cash flow slightly lower. If you look at Sulzer, the last 10 years and on our return on capital employed, we always show this 10 years back, you do see that we are in the process of really achieving a step change in our profitability or in our return on capital employed this time this year, 2024, 19.7%. That is coming close to a very nice profitability. But of course, we aren't there. We haven't met our long-term targets at all. The company is in good shape. The company continues to improve. And as a result, of course, our shareholders should participate, and we are going to propose to the general assembly that the dividend payment should be up quite -- let's say, substantially up to from CHF 3.75 per share to CHF 4.25 per share. With this, we are absolutely within our dividend policy, and it reflects the good situation in which Sulzer finds itself. This in a nutshell, I'll speak later a little bit more about what is going on in Sulzer behind the scenes, but now let's first dive into the figures. Thank you.
Thomas Zickler: Thank you Suzanne, and good morning also from my side. Let's now dig a bit into the numbers of 2024 and explain a bit with more color in detail what happened in 2024 compared to 2023. So as already addressed by Suzanne, when you look at our order intake and sales, you see that we are in the second year in a row, double digit. And when we talk about this, I would like to give you first a color what happened in Q4 because this is coming a bit too short in our press release when we talk about the financial year in total. So in Q4, when you compare Q4 2024 to Q4 2023, we had for the Sulzer Group an order intake increase of 16.3% on a Q4 to Q4 basis. And this was mainly driven by Flow and Services. In Flow, we had an increase of 29%. So we had in -- especially in Energy, a very strong H2. In Services, we had an increase in Q4 of 11.3%. So also a very strong Q4 2024. In Chemtech, we grew 2.3%, a bit less than in the other divisions, but this is mainly caused by many projects, which were delayed into H1 2025. And this is what we also address when you read in our guidance that as higher we get on the absolute levels, and as more bigger projects we get, as more difficult for us, it is to really predict the numbers on a quarterly basis because of the nature of the project business, and we cannot really influence when we then have to book the orders. The overall growth, as you see, is intact. We don't see in Q4 for the group, any signs of a slowdown. Now let me come to the order intake overall for the group. When you look at this 10.8% order intake growth, it is very important that I address here the order intake margin. Our order intake margin increased in 2024 by 110 basis points. So what does it mean? Just for a comparison, in the 2 years before in '23 and '22, we had an increase of our order intake gross margin of 40 basis points only each year. So you see that the order intake, we are not getting in for every price. It is really visible in the market that we have a good market position in all the essential markets for Sulzer, in all the industries where we do critical applications and also our brand name, Sulzer comes more and more into place where we have a position where we can ask for a certain pricing. And therefore, this is a very good order intake, the 10.8% plus because we have increased our order intake margin almost 3x to what we have increased in the 2 last years before. When we talk about sales, I will then go a bit deeper into the sales performance of the individual divisions. You see we have growth in all the divisions. We have growth between 9% and 12%. Suzanne already addressed it when we talk about our FX impact this year for the year 2024, we had more or less 3% FX impact, still negative FX impact. However, when you compare with the year before, we had 8% FX impact. So in absolute numbers, around about, we have between CHF 110 million and CHF 120 million FX impact negatively on order intake and on sales. One year ago, we had between CHF 250 million and CHF 280 million FX impact on order intake and on sales. Let's come to the profitability. You see that the profitability in 2024 went up by 130 basis points. The year before, the profitability went up by 110 basis points. So that you see the increase also of our operational profit with almost 25% is really proving and showing that we have a good market momentum, yes, agreed, but also that our operational excellence initiatives, which we have started that they are now getting executed and implemented. In addition, the better gross margins, which I explained to you already on the first page, which is also reflected in the higher order intake margins. The growth in profitability is led overall in 2024 by Flow and Chemtech. And you will then be surprised. I know that you all know what we have announced this morning. But for me, it was the biggest surprise when you see the profitability increase in Chemtech of 180 basis points. Now let me talk about our return on capital employed. For capital employed, it was very difficult for me how to phrase this because we have 200 basis points increase in 2024 compared to 2023. So it looks like a lot. But what you have to understand in the 2 years before, we had each year an increase of return on capital employed of 300 basis points each year. So when you look back 3 years, you have 300 plus 300 plus 200. So this gives 8 percentage points more on our return on capital employed over the last 3 years. This is, I think, quite impressive when you see the numbers reflected in our capital employed. Now let me talk about Flow. In Flow, we have really a growth momentum when it comes to our Energy & Infrastructure business, as I already told you, but we have also a good momentum in our Water and Industry BU. The numbers for 2024 are the following. In Energy, we had almost 15% plus, so 14.7% plus on Energy & Infrastructure when I talk about orders. And in our Water and Industry BU, we have a plus of 10.6%. And this is the first bullet point. So you see on the right side, we are growing in Flow on both sides, in both areas in Industry and Water as well as in Energy with double digit. And this is quite impressive, especially when you see in order intake, this year, we have closed with 12.3%. Last year, the order intake growth in Flow was 11.3%. So you see that we are on a very high level, sustainably growing in Flow. Profitability, when we talk about profitability, you see, again, Flow is up by 150 basis points profitability. When I was last year here, not in this location, but when I did this conference, I reported to you that the year before, they were 140 basis points better. So just in the last 2 years, almost 300 basis points better profitability in our flow business. When we talk about sales, you see that the sales, 9.4%. This is a very good sales after 10.9% sales in the prior year. We have here solid backlog execution, especially from the energy side, a higher book-to-bill. I told you that especially in energy, we had a very good H2. And also on the [indiscernible] side, Water and Industry side, we had in sales a very strong Q4. Now let me come to services. Services, it's -- I call it the last time, the surprise for all of us because services was growing last year, 19.8%, so almost 20%. And then we were very cautious with our forecast for 2024. And you see in 2024, again, in order intake after 20% the year before, they grew again 12.5% -- and when we talk about this order intake, and I discussed in the last [indiscernible] with our business, so is there a slowdown visible? Do we see anything? So it's still really, I call it, the machine is still going on, especially in the U.S. We closed last year in the Americas with a plus of almost 16% compared to the year before and in APAC, so Asia Pacific with 14% more. When I talk to the people now, they don't see a slowdown in this market. It's really on this high level, further growing. Talking about sales. Sales, you see 12.3%, also to bring this in relation after 14.5% sales growth the year before. We have here in sales the same suspects. So this is really led by the Americas and also supported by Europe, Middle East, Africa and the Asia Pacific. Now I come to a point which I discussed with most of you a couple of times during the year, and now I present you the numbers. I always told you that in services, don't expect this year a too high increase in the profitability because services is investing this year a lot in the future growth in excellence. And this has happened. You see it when you talk here about operational profitability, you see only 20 basis points increase in the operational profitability. But when we talk about only, you also have to see the year before, they increased by 60 basis points and they also have our highest profitability when we talk about the 3 divisions. So for what did they spend the money? What did they do? Why is the profitability impacted by the so-called one-offs for operational excellence? I give you some examples. Since we are really growing more than, I say, double digit in Americas in total services, we have invested in more capacity in land, in workshops, in Houston, and this cost us money. We have opened for services, new service centers. And I just read it out the list in Thailand, India, Malaysia, Kuwait, Sweden, Denmark. So we are really expanding our footprint to come closer to the customer. And on the other hand side, we have realized -- in the U.K., we have too many service centers, too many small service centers, which makes no sense from an operational excellence perspective. And there in the U.K., we have closed some service centers. So you see here, services is really preparing for higher profitability this year, 2025. They have initiated a lot of measures, which should be then visible in the performance of 2025. Then let's come to Chemtech. When we talk about Chemtech, Chemtech is when you compare it order intake year-on-year, our slowest growing division with 5.4%. But let me say something to the 5.4%. The 5.4% is with knowing that Chemtech has a very high dependency on the Chinese market, and Chinese market around about 60%, 65% for the whole division. And when you look at the Chinese market went down by around about 20%, 25% in our segment, you see that the plus 5.4% in order intake is a quite good result. We have taken action and measures during the year 2024, where we then also expanded with Chemtech more to the Americas and to the Middle East in carbon capture area and other areas. And this helped us a lot by the end of this year to compensate this and also land with Chemtech on a plus 5.4% order intake number. When we talk about order intake, I think this is also very interesting for you to reflect this today. I told you the 5.4%. This is also impacted by China, but nevertheless, a positive growth. So when you look for Chemtech the last 3 years, you see 2024, 5.4%. The year before, they had an order intake growth of 10.5% and the year before of 22.5%. So please also see this year a bit in relation what would have happened if we wouldn't have seen a slowdown in these Chinese markets. When we come to sales, you see on the sales side, double digit again, now 10.9%. The year before, we were 15.5% on the sales growth. And on the sales growth, it's really the third year in a row where Chemtech grows double digit. So it's not only the second, it's the third year. They grew 10.9% in 2024, 15.5% the year before and 14.8% the year before the last year. So the third year, double digit in sales. But now you see what I addressed before, the profitability increase. Look at Chemtech. Chemtech has the highest profitability increase with 180 basis points between all our divisions. And Chemtech has done a lot when it comes to supply chain management. They have bundled there, say, operations in Asia to optimize procurement. They have also done excellence in their factories, and they also benefit a bit from a mix impact. What do I mean with mix impact? I mean they have more turnaround services and upstream applications, which has normally a higher margin than the downstream business. And therefore, by this mix change, they also achieved higher gross margins and then in the end, a much higher profitability. Yes, based on this, what I explained to you, I think it's more or less the logic, the outcome that we have reached new highs when it comes to EBIT and net income. You see our EBIT is increasing by almost 22% and the net income 20%. Why a bit less? Because we have -- when you calculate net income, tax expenses and as already addressed also by Suzanne, when you have more profits, you pay higher taxes. And we had also profits in countries like in the U.S. where you pay higher taxes than here in Switzerland. And therefore, the tax expenses, they have basically eaten up a bit more from the net income than in the past years. Cash flow. Cash flow, let me first read the headline, the second part for me, it is in line with expectations. When I stood here 1 year ago, I gave you around CHF 250 million, CHF 270 million, what I have expected 1 year ago. So when we go into this and maybe you will ask yourself, what is this box here on top, why we have done this? Let me shortly explain to you. We achieved CHF 235 million free cash flow, which is recorded under IFRS. But unfortunately, we had a big down payment from a customer in the Middle East in our agent bank account, and we were not able on the 31st of December, talking to the customer in the afternoon so that we get this money transferred to our bank account. So it was a question in the end of 2 or 3 hours. And this is why I allow to tell you that actually, we would have had a CHF 30 million higher free cash flow if this money would have arrived. Under IFRS, it's clear we cannot show this, but just that you know why I'm explaining this to you. When we talk about why is the free cash flow a bit lower than last year, there are, in my eyes, 3 main reasons for this. The first one, you see it, it's CapEx. So we always said we are investing in our excellence and growth initiatives, and this costs money. And the money is refinanced from the running results. So this means we had 2024, a higher CapEx of around about CHF 28 million. And this higher CapEx for excellence and growth had to be refinanced out of our cash flow, of our operating cash flow. And therefore, the free cash flow is alone by this CHF 30 million on a like-for-like comparison lower than the cash flow last year where we had lower CapEx investments. Then because of the increase which we have in our EBIT and our profits, we have around about CHF 30 million more payments for taxes. So in 2024, when you compared to 2023, you have alone 2 positions, around about CHF 60 million, CHF 30 million for taxes, CHF 30 million for CapEx, which you haven't had in 2023, and this alone has an impact of CHF 60 million. What we additionally had is an impact on our net working capital. And when you look at net working capital, I ask you first to really reflect why is net working capital higher. There are mainly 2 reasons. One, already addressed by Suzanne, and I'll explain a bit in more detail, our accounts receivables. And the other one is our much higher backlog. When we had last year, basically 2023 year-end, we had a backlog of around about CHF 1.9 billion, CHF 1.9 billion. 2024 year-end, we had a backlog of CHF 2.3 billion. So we have a CHF 350 million higher backlog than the year before. And because of this, yes, you need a bit more inventory. Yes, you need a bit more, you need a bit more on the net working capital side. I think this is understood by all of you. What happened, talking now about accounts receivables because you see it in our balance sheet. You see that when we talk about accounts receivables, we have around about CHF 680 million accounts receivables in total. And out of this CHF 680 million receivables, and I have here the number, CHF 490 million. So almost CHF 500 million are receivables, which are not yet due. So what happened when we had really a good run on the sales side in Q4, we basically made a lot of sales. This gave us also the upside on the sales side. But unfortunately, all these invoices, they are paid in January, February, March of this year. But since we have the higher accounts receivables and accounts receivables is part of the net working capital, the net working capital increased because of this not yet due receivables. That's it basically to the free cash flow. Let me come to our balance sheet. Balance sheet -- our net debt EBITDA ratio, you see it has improved and is further down to 1.0. There are 2 reasons. Our EBITDA has increased. This is the first one by 20%. Just that you have the numbers in mind, it's increased from CHF 440 million round about to CHF 503 million. So this is CHF 65 million more. So we have a higher EBITDA. And on the other hand side, our net debt has decreased. And you see that our net debt has decreased when you see the net debt 2023 and 2024 by CHF 28 million or around about CHF 30 million. And then it's logic that then also the net debt-EBITDA ratio has become a better one is down to 1.0. Our net -- sorry, our gross debt or our debt when you see here has not changed because we have refinanced last year a bond on the Swiss capital markets. And therefore, you see our debt is more or less the same. First bullet point I want to address now in the end. Here also, you see our debt levels remain the same. I explained to you, bond refinance. So nothing done here. But we have an increase in our CapEx. We have an increase of CHF 30 million plus alone for excellence and growth. And in total, I think almost CHF 40 million more, which we have invested in P&E, in property, plant and equipment. So now coming to the dividend and the reflection of the good results over the last years. You see especially when you look at the performance over the last 3 years that the curve is really getting a bit more, say, stiffer than it was before. And this allows us now to suggest then for the general assembly a dividend increase by CHF 0.50 and not maybe as some of you has expected by only CHF 0.25. With the CHF 0.50 dividend increase, we have in our calculation, which is based on our dividend policy and our dividend policy says dividend payment should be between 40% and 70% of core net income. So with this dividend proposal of CHF 4.25 or CHF 0.50 more, you see here, and this is the last bullet point, we are close to the lower limit of our dividend payout ratio with 46.7%. So with this, I would like to give back to Suzanne. I hope that you have seen that our number really have sustainably improved over the last two years. And with this, I hand back to you, Suzanne.
Suzanne Thoma: Thank you very much, Thomas. Always nice to see these figures like evolving the way they do. Now let's take a little bit deeper look into what is really happening in the company that is then reflected in the development of our figures. So what are the industries that we are serving? I spoke about the essential industry. So what does it mean the essential industries. You can summarize it with the energy industry, both security of supply in energy and energy transition. Of course, this market is structurally growing. We need more energy. We need more energy because population is growing and because people want to live better. Natural resources, speak about water, same, more water, cleaner water, better water around the globe. and also natural resources like green minerals with the digitalization that is going on worldwide, we need more of it, but we also need it better because we need to reduce the environmental impact on our planet. And then the process industries, the chemical industry, fundamental to prosperity and to well-being. What are the big process industries. They are ammonia, they are plastics, they are steel and cement. And these industries are also at the root of about 15% to 20% of the worldwide CO2 production. So very important to provide and at the same time, to make it cleaner. So why are we so sure that our industries are growing? Well, because we look at what is the world -- what is happening in the world. But we're not the only one to say that our industries are growing. You see here from 2024 from Standard & Poor's prognosis going till 2035 about investments in the key industries in which Sulzer is active, water, chemicals, metals and of course, energy and power. Now these industries are not exploding. They are growing step by step and structurally, which is also very good for a company like Sulzer because we can grow along with them and keep that chart in mind. Our strategy. Our strategy is, in a way, a very simple strategy. It doesn't mean that the implementation is simple. But we do predominantly 2 things. We grow organically in our markets, and we have tailwinds from our markets that are growing as well. And at the same time, we are looking inwards and making ourselves better, more efficient, reducing complexity and increasing the quality of what we are doing every day. Our vision for Sulzer is that we are very strong, a top industrial company, industrial and engineering company. And we definitely are not there yet, but we are on the way to do that. Organic growth and operational excellence along the value chain is, of course, linked with each other. These are not two separate elements. So if we are really good in, for example, commercial excellence, the way we set our prices and how we deal with our customers, it supports our growth. And our growth helps us, of course, to become even more efficient in our operations. It has been very good to communicate the strategy to our people around the world. They can identify with it. And everyone that is our goal knows how he or she can contribute to these goals. What is it what is it that we do in these industries? Well, we help our customers to produce more with less to increase their quality and to reduce their emissions. We remember some of our industries are these heavy emission industries. We need them for our well-being around the world, but still, we also need to reduce the emissions, the CO2 footprint. We are also working very strongly on improving our customer-facing functions. Now we are an engineering company, we're an industry company. So sometimes these customers for us are a little bit difficult, what do they want. We have to change our mindset and become very customer-centric is the word that is often used, putting the customer at the center of what we are doing and not only in the business, but also in our group functions, which leads me to an important point, Thomas has been working heavily on that is to make our overhead functions just better, more efficient, increase the quality and reduce the time and money that we need for these functions. I also would like to mention here that Thomas has also said something in the context of Chemtech regarding supply chain. It's not only in Chemtech that we have greatly improved supply chain. We have also improved it in the other divisions and also in the function. And if you look at our results, you see that we had to invest quite a bit in excellence, but all the additional costs that we have had -- costs, not investment, all the additional costs that we have had in 2024 were overcompensated by the savings that we could achieve. So we do not have to stand in front of you and say, we went into a full operational excellence exercise, and that is why our result is not so good. In the contrary, we ran it in a way that it could immediately improve, not immediately, but could within the year already make a major contribution. I also would like to mention IT here. We have a very complex IT system grown over the years and the decades. This is also something we are working on just to make it leaner and to make it better. So it serves both our customers better, but also our colleagues around the globe. Thomas had quickly mentioned, this is a small slide just we are not only saving and we are not only investing for operational excellence. We are also investing in expanding our business, not in the large production capacity because we still definitely have enough, but in the quality of our business with 3 very small acquisitions, 2 in the Service area, 1 in the Water area. Then we have expanded service centers and test centers that we already have, and we have invested in 3 innovation and test centers that I would like to show you here. I like these pictures. It shows you a little bit what our world is. We have an innovation and technology hub in Singapore. What are we doing there? We are piloting for our customers, their processes. For example, for the recycling of battery electrolytes, we ran a big pilot test to give the customer exactly the right process parameters and also the right equipment for their specific need. And it's important to do that as close as possible to the customer. We also have a test center in Allschwil. Then we expanded the test center in Mexico. Selling pumps means selling good pump parameters and to have testing close to the customer reduces our lead time and makes us more reliable at least in the perception of a customer because it's much easier for the customer to fly to Mexico to see our test center than to go, for example, to the U.K. And the third one that is an investment in Europe, in the heart of the chemical industry of Europe. What we are doing there is for the maintenance of the existing infrastructure of our customers, we have a rapid response center. So if a column is not working, we can go and provide a new one as fast as possible or repair one. And I like this picture because you see the dimensions of what we are doing. That is a column internal, and you see the people behind it. So these are really huge installations. I would like to give you a little bit more of a flare, not very long, don't worry -- about what it is that we are doing. I'm speaking about making the process industry better and more efficient and reducing our planet's ecological footprint. One example is an order that we received from the Middle East for bioplastic plant, a plant producing plastics out of natural raw material. It is supposed to become the biggest bio-based plastic -- the biggest bioplastic installation in the Middle East. It runs with our technology, our licenses, and it runs with our installation. It will have a future -- it is in 2 steps. And with the second step together, it will have a capacity of 160,000 tonnes per year. This, of course, is a drawing with artificial intelligence, but this is how it will look, typical way of doing more and better. Another important business that was not such a huge business, but it leads the way in what is going to happen slowly probably over the years, but that is not only to capture CO2, but also to use CO2, particularly the C out of the CO2. And our customer in Japan is running not a pilot plant, it's bigger than that. It's a demonstration plant and came to Sulzer for our carbon capture technology. And we could design, engineer exactly the right configuration for them and improve the capacity by 20%, which also means improving the energy efficiency of this very energy-intensive process by 20%. You have to capture the CO2, and then you have to regain it. You capture it with the solvent, then it's in the solvent, then you have to get it out of the solvent. That is quite a process. And speaking about solvent, it's, of course, very important that the solvent stays in the cycle and doesn't go out into the environment. And Sulzer technology is very good in containing the solvent. This is a very innovative company, and they want to do large-scale polyurethane. That's one of the big chemicals that we use in every -- all of us, whether we know it or not, are using polyurethane, and they want to start with the C out of the CO2. Another interesting project that we have had and that is now running, it has to do with making infrastructure better in the area of energy. That is our customer in Indonesia. Of course, Indonesia can do a lot of geothermal energy. That is due to the geological situation like in Iceland, and it is our responsibility to keep their -- how many plants, there are 93 customer units running. And these 93 customer units, they represent about 330 megawatts. That is pretty much the performance of [indiscernible] to give you a little feeling for the size. We were particularly proud because we already had a 3 years contract with them, and now they extended it for five years. The last example that I would like to mention again, we go back to the chemical industry. Here, we are speaking about a plant that is producing ammonia, very important chemical, use it for fertilizers, but for many other things. Now we are not in the chemical process here, but we are doing something else that is very important. We are providing the water. We, of course, pumping the water. It is salt water, so it's very abrasive. These pumps have to run for a very long time. We have to have very high quality. And we combine it with another offer of Sulzer and that is to clean this water. So it can be used in the plant as clean process water. This is a very good example of making, let me call it, heavy-duty industry that we all need to make it better and to make it cleaner. So three key messages very slowly. We serve markets which are essential. All of us have to do with these markets, but this is true for most people around the world. And these markets are growing because they are structurally growing. Our value proposition is that we make very critical customer processes and infrastructure, we make it better. We extend the lifetime of critical infrastructure. We reduce the energy consumption, we reduce the emissions. So we balance both the need for more with the need for better. That is a growing market. When we look inside, we are now in the phase of a very rigorous implementation, both of growth and of Sulzer excellence. Sulzer excellence and Sulzer growth, it's actually the same. It is very much linked. And when I say rigorous implementation, I give you an example. In the Sulzer Excellence part, we track 400 initiatives, 400 initiatives, we track them every month. So we are now in the phase of the doing and not of the planning. And that is always the moment where it becomes, and we track them on completion, on costs, on everything. That is very important right now. All of these things lead to a step change in profitability. We are very happy that we can report a higher profitability in spite of the additional costs that we have had in 2024 to start with Sulzer excellence. And we see how Sulzer is evolving step-by-step as quite a resilient company also because we are very global, very strong in 3 regions, and we are generating cash that can be used for our share [indiscernible] outlook. Outlook, ladies and gentlemen, end of February 2025 with everything that is going on in the world right now is quite a challenge. You will understand that. It is also quite a challenge when we speak about order intake. Thomas spoke about it. We are moving into larger projects, CHF 100 million project, CHF 150 million project. And depending on when we get this order, the comparisons with previous year can be distorted. They can be distorted in a positive way or a negative way. So let's say, we get a big order from the Middle East in December, or in January, will impact our order intake result for 2025. And it's even worse if we compare quarterly. So we are somewhat cautious here as we were last year, same time, and we say we have an order intake between 2% and 5%. That would mean we are more or less growing with our markets. Sales will be up, of course, between 5% and 8% is right now our prediction for 2025, strong. The key issue for us, of course, is execution on the high backlog that we have. And the EBITDA margin, we will from now on only report EBITDA when it comes to profitability will be above 15%. We see that our measures of Sulzer excellence are really gaining ground. And as it stands today, we will have less expenses, less cost for implementation of the Sulzer excellence measures than we had in 2024. So I come to the conclusion of my presentation. What do we want to do with Sulzer? We want to make a very good company. Sulzer has always been a good company. We want to make it a great company. And now we are not American, so we don't speak that much about great. We say a top industrial company and one that is really creating value, value for the shareholder, that is our job. It comes through creating value for our employees. Thank you very much. We are now ready to answer some questions. There seems to be the first one already. And then the second one, we first take the questions from the people in the room and then afterwards outside.
Q - Alessandro Foletti: Alessandro Foletti from Octavian. I have 2 financial and 1 strategic, if I may. And I go back in the pipeline.
Suzanne Thoma: Can you start with the strategic...
Alessandro Foletti: It's maybe a bit of a -- more curiosity for me, but you are very strong in desalination. And that's not a very ecological process, if you ask me. It's actually a big ecological disgrace. But when I see what you are doing, particularly with the CO2 -- sorry, carbon capture separation from the solvents and also the other parts you mentioned in this ammonia thing, that's exactly separating salt from water. Isn't there a huge business potential there to solve the problem? I know it will be costly, but they put billions of tons of brine into the ocean changing the climate, changing the desalination of the ocean, killing the corals and the fish is really terrible.
Suzanne Thoma: I don't see it like that at all. It depends what you do with the salt after you gained it. Number one, with desalination, it depends where the energy comes from. It is, of course, very energy intensive. And then it depends what you do with the salt. You don't necessarily have to put it back into the ocean.
Alessandro Foletti: But that's what they do in the Middle East.
Suzanne Thoma: That may be, but that will improve over time. The Middle East is quite moving now towards being much more ecologically oriented. When we speak about Sulzer, just to correct the misperception, we are not very strong in desalination. Actually, I think we have had hardly any turnover in 2024 from desalination. There are more specialized companies who do that and companies that go into the very large projects, which is not...
Alessandro Foletti: So it's not a business for you, in other words?
Suzanne Thoma: It is a little bit, but it's definitely -- we sold nothing in 2024 in desalination.
Alessandro Foletti: Okay, good. Then on the guidance for the order intake, you mentioned -- I understand what you just said about visibility and so on. But you mentioned during your presentation, Thomas, that you don't see a slowdown in service and you don't see slowdown in pumps.
Thomas Zickler: Yes.
Alessandro Foletti: Then 2% to 5% is below what has been the last 2 years. So you must see the slowdown somewhere else.
Thomas Zickler: Let me answer the question in the following way. When you look back 2 years and to last year, we always started the year because of the nature of the project business with this lower guidance in H1. And we also don't want to change this year because it's really difficult for us to predict in February for the full year 2025. So let's see how this develops in the first couple of months this year and then where we stand by mid of the year, and then let's see what we have to do with the guidance of order intake. But I don't want or we don't want to come into a situation where we promise something when then whatever the market changes or we hear some...
Suzanne Thoma: Political situation, whatever.
Thomas Zickler: And this is not the way we want to do it. We want to really stand for what we give you on guidance and also then hold to the guidance.
Alessandro Foletti: Okay. And then the second question is on the profitability. Now you move to EBITDA. So I understand it's up your guidance, give or take, 80, 100 basis points maybe. Is it going to be the same on the EBIT level? Or is it something that will be captured in between the 2 lines?
Thomas Zickler: What do you mean with capture between the 2 lines?
Alessandro Foletti: Well, is it EBIT also going up? -- the same amount.
Thomas Zickler: It's not in the same amount because you know the difference is amortization and depreciation in between. And we have a bit of higher CapEx investments because we invest in our excellence. So over time, the depreciation will slightly increase, and therefore, you have a bit of a difference between the EBIT and the EBITDA, but it's a minimal difference. It's not big.
Alessandro Foletti: And just a follow-up on this one. Do I understand correctly that the main driver here would be the Service division this year?
Thomas Zickler: For the EBITDA growth?
Alessandro Foletti: For the profitability improvement.
Thomas Zickler: No, no. This is not how I would like to have this be understood. We have 3 divisions. And as Suzanne said rightly, in all the 3 divisions, we have enormous potential to improve our profitability. And as Suzanne said, we do not only do procurement excellence in Chemtech. I just addressed it because they have the highest profitability increase. We do it all over the place in all the 3 divisions. So I would not say that most of it is coming out of services. I just gave the Services division, President for this year, say, a higher margin increase than the other 2 divisions. But overall, the profitability increase will come from all the three divisions also in the future.
Suzanne Thoma: Saying it a little bit differently, and also the division President is sitting here. Services has some catching up to do. They were very busy growing. Now they have some catching up to do with the profitability. No pressure growing. We have here and then somebody has to keep the sequence.
Christian Arnold: Christian Arnold from ODDO; Two, three questions from my side as well. On the growth CapEx, I mean, you have mentioned that you are investing in services, but it looks like that you don't have to invest in production capacities in the other 2 divisions. Is that correct? And then when would you have to invest actually? If you say some 20%, 30% higher, how much free capacity do you still have?
Suzanne Thoma: Yes, we still -- well, it depends when you look at it. We have started with what one calls value stream mapping, give you an example of our plant in Pune, where we just did that. Just by systematically going through the production processes, we found depending on how you calculate it, 30% additional capacity. Now of course, Ashish, who is sitting back behind you, will criticize me for taking a too low number, but we can go from 3 shifts to 2 shifts with the same capacity. So we are at the beginning, at least in that plant of being able to fill it up. It may be a bit less, for example, in [indiscernible], where we do the high energy, the high energy pumps, but we still have -- we are really at the point where we can still improve with the capacity.
Christian Arnold: So no further large CapEx program.
Suzanne Thoma: Not for the moment. Also in services, when we do CapEx, these are small CapEx. We are speaking of quite small service centers, but they have to be close to the customer, and that's why we do these investments.
Christian Arnold: Then on Chemtech profitability increase, I mean, besides the excellence, you also mentioned the positive product mix effect. I wonder, do we also have a geographic positive mix effect because China was less important and then America, Middle East became more important. And if that moves back to normalized Chinese exposure, would we then see a negative impact on profitability?
Thomas Zickler: No, I wouldn't answer the question like you proposed. We have also in our core business in the mass transfer business in Chemtech in China and also in the rest of the world, we have an additional sale, enormous potential of improving the profitability, say, in our base business. What happened in 2024, we have seen now the first sales coming out of these [indiscernible] projects and first also from the Balrampur and these PLA projects because we are here leading the technology in this PLA area, these projects, they have a relatively high margin. This is coming on top to my explanation.
Christian Arnold: Then maybe last question, a little bit yes, I don't know how to phrase it. But I mean, Sulzer had 3 fantastic years, so to say. I think you are stronger than ever. And I think the last 3 to 6 months, we have seen lots of changes in the Executive Board. So why are you leaving such a great place to work? I mean, yes, can you give us here a little bit insight?
Suzanne Thoma: Well, we are, of course, in the transformation phase. We're also adjusting the strategy, particularly also in Chemtech. And we're also speaking about personal situation. So let me put that way. The second departure is maybe because we had such good 2 years because that has been seen also in the German industry and our colleague who is leaving us by his own decision, has a very, very good new job in a German company. I think I'm not allowed to say which one. So that is also a little bit a result of our success. We also have a strong talent pipeline. We have been able to fill both positions with internal candidates.
Patrick Rafaisz: It's Patrick Rafaisz from UBS. Three questions as well. The first would be on the, let's say, more near-term developments, right? You mentioned yourself, '25 will be about executing the backlog, which really spiked again in the second half, big move up. Does that mean we should also, given the comparables from '24, expect a more dynamic revenue growth in H1 on the backlog execution, and then a bit of a slowdown in the second half, just on a year-on-year basis?
Thomas Zickler: Simple answer, yes. So depending on how then our project business develops in the second half of the year because of overtime and POC revenue recognition, but this is, in general, right, what you say.
Patrick Rafaisz: Good. And then, Thomas, you also mentioned some larger orders in Chemtech got delayed, but you also said you expect them to be booked in H1. Any chance of giving us a quantification?
Thomas Zickler: So it's difficult to answer. What I can tell you for -- not for sure, with a high probability because we shouldn't celebrate before we have the signature. But you know this Emirates Biotech project on the Chemtech side, we have taken in December, only a small portion of this project for a bit pre-engineering, and we expect that we get the contract from Emirates Biotech, say, in May, sometime around the spring, say, this way. And this is then in the same magnitude as you have seen the order intake, for example, for Balrampur. And this is why we started to say with these bigger and larger orders, we get now more and more the swings between the Q1s and Q2s and so on between all the quarters. But this is one which I can address. The other ones -- sorry, but I'm not allowed to say this before we have the signature.
Patrick Rafaisz: That's already helpful. And then the last one on CapEx, I understand what you said, but what does that mean in your absolute spend for '25? Did we have a peak in '24? Will that come back a bit or percentage of sales same? What would be your guidance?
Suzanne Thoma: For the productivity improvement, we had a peak. So what we had to invest and also spend in order to get Sulzer excellence going, we had a peak. Regarding other CapEx for growth, that is difficult to say right now.
Thomas Zickler: And I would add to this, we have around about CHF 100 million, CHF 110 million on CapEx, and you can treat this as a peak also for the future because as we explained, we had a lot of so-called one-off investments for excellence and growth. And most of these investments we have done in 2024. So let's see how the word goes in the next couple of quarters. But actually, yes, you can see it more or less as a peak around the CHF 100 million CapEx. So you won't see us investing then CHF 150 million or more million CapEx. This is what you don't see.
Patrick Rafaisz: Good. And sorry, I'll sneak in just a quick one on the margin. If I understood you correctly, services because of the catch-up will have to deliver a bit more than the others. But then if I look at the order intake margin, I mean, Chemtech was astonishing, right? Huge change. So why isn't then Chemtech the biggest change in the margin versus prior year in '25?
Thomas Zickler: Because when you see Chemtech, how they developed over the last 2, 3 years; Chemtech, we have to do the same what we did with Services. Yes, we will look for the OpEx. We will look for COGS. We will look for more efficiency and excellence. But we have prepared now for Services. This is why I focused on the Services side. Chemtech, they will further improve, but they first have now to really consolidate this what they have done to really see in the organization, what are the next step for excellence, how we are going to do this, and this is the only reason. It's just because we invested a lot in Services, and now we want to prove that this was worth to invest and you see the, say, biggest profitability increase. I'm not saying that the other 2 divisions, again, and I'll repeat it, that they are not improving their profitability because otherwise, 1 percentage point again in profitability increase means a lot also for the others to contribute. It's not good enough if just one division is providing us 1% growth in profitability.
Suzanne Thoma: Now we have maybe go here and then here. And then also, of course -- I need some help with the sequence of who is first. Maybe you can watch out a little bit, please.
Unidentified Analyst: [indiscernible] from UBS as well. Two on the financial side, you specifically highlighted that your FX impact is less. There's something you're actively doing to make yourself more resilient?
Thomas Zickler: No, simple answer is no. The Swiss franc is weakening. And when you basically remember what I said that we had two years ago, around about CHF 250 million, CHF 280 million, this year, CHF 120 million. So if you add up the two numbers, we would have been CHF 400 million better in our top line. Just to make you aware of what it means with this, say, appreciation of the Swiss franc over time. But we haven't done anything on the hedging or restructuring of our portfolio.
Suzanne Thoma: On the top line, yes, on the profitability, it is not such a big impact because our hedges in our regional -- we are everywhere, more or less in Asia, in the Americas and in Europe, not equally, but we have also a lot in sales, of course, in Europe.
Unidentified Analyst: And if I remember correctly, at the Capital Markets Day, you said you would likely refinance most of your bond capital stack with maturity in September. Do you expect to refinance this bond as well?
Thomas Zickler: The answer, yes.
Unidentified Analyst: That is short -- I cannot answer.
Suzanne Thoma: We go back here and then we go there.
Yannik Ryf: Yannik Ryf from ZKB. I have a quick question regarding your free cash flow definition because I'm a bit confused here.
Thomas Zickler: You're not the only one.
Yannik Ryf: Because you said you had a free cash flow of CHF 235 million, but you also think you have roughly CHF 30 million in leasing repayments -- in financial leasing repayments.
Thomas Zickler: Not, no.
Yannik Ryf: But when I go back to your Capital Markets Day, you laid out there the CapEx. And I think within those CapEx, you have also included the repayments of leasing, right? But now -- I mean, when I compare it to the free cash flow now, I mean, those are 2 separate approaches, right?
Thomas Zickler: It is a bit -- I can guarantee it's the same number. We haven't changed any definition. But what is true that every company has a bit of a different definition when it comes to free cash flow. And when it comes to our free cash flow, for example, leasing and the treasury shares, the expenses for the treasury shares, but they are not included in our free cash flow definition. That's it.
Suzanne Thoma: But they weren't in spring items...
Thomas Zickler: No change.
Yannik Ryf: But they are not included in spring there?
Thomas Zickler: No, no.
Yannik Ryf: But from the bond side. Your Tiwel cash is now roughly 2/3 of the regular cash stack that you have...
Thomas Zickler: CHF 410 million.
Yannik Ryf: CHF 410 million and you have CHF 650 million regular cash. The gap is now CHF 250 million. And I think the closing the gap, the catch-up is actually accelerating because you are increasing the dividend. So I appreciate that we see certain KPIs like the leverage ratio that you have excluded and adjusted that for the cash pile of Tiwel. But what is with all the others with equity ratio, ROCE and all these other KPIs that you show, are they also excluding the escrow money that you have for Tiwel?
Thomas Zickler: Yes. What we have done when we show the equity ratio, for example, with the 26%, this is including the Tiwel liability and the 26% is just showing the equity ratio with our cash, say it this way. If we wouldn't -- sorry, with the total cash and the liability, the 26%. If we would basically take the cash and the liability out because it blows...
Yannik Ryf: It's liability?
Thomas Zickler: No, we have, on the one hand side, the liability, on the one hand side, the cash, right? And if you take both out, it's like a balance sheet prolongation. And then if you would take both out, you would have a result of our equity ratio, if I have it rightly in mind of 28.6% or 28.4%. So when you would take out Tiwel, which is prolonging our balance sheet, if you would take it out completely, the equity ratio would be 28.4%. Don't quote me on this, 28.4%, 28.6%, something like this.
Yannik Ryf: Okay. But what you show is not excluding it?
Thomas Zickler: Yes.
Yannik Ryf: Okay. Then the question is also, has there been any discussion internally that maybe share buybacks is rivaling your increase of the dividend because you're creating -- you're messing the problem.
Thomas Zickler: No, because share buyback is not an option for us because of our shareholder. And if we would do a share buyback, we would automatically increase his stake. And therefore, a share buyback is not possible for us in our situation with our excess liquidity.
Yannik Ryf: Okay. And can you give any indication what is here the end game with this overall cash pile?
Suzanne Thoma: No, we can -- not clear yet. We execute on Sulzer strategy 2028 as fast and as well as we can. And then maybe one day, we will -- I shouldn't even say that. We are now doing what we said we're doing, and that is the plan.
Arben Hasanaj: ArbenHasanaj from Vontobel. I would have 3 questions. First, on market share. So I think you've developed more dynamically than many of your peers. So maybe looking at the last 3 years, where would you say that you've gained the most market share, which segments, which applications that you are in?
Suzanne Thoma: We -- #1, we are in very large markets. So to really have a meaningful comparison, you have to be in -- you have to speak about segments. So where we have definitely gained market share is in what we call high energy pump in the pumps that we engineer in detail and then produce. We have also -- we have, in a way, increased market share in all industries. If I look at Chemtech, of course, we have lost in China, but that is not because we lost market share, that is because the market went down. And we see that the pipeline of renewable type project is there. And those projects that make it into execution, we get them. So there, we have a very high market share. We definitely have increased our market share in the Service division, particularly in the turbo service area.
Arben Hasanaj: And then you mentioned before that also portfolio adjustments and portfolio pruning would be an important driver for your margin. So I'm wondering, was this already a driver last year? Will it be this year?
Suzanne Thoma: Well, we have worked on the portfolio pruning, particularly in the Flow division there, again, particularly in the Energy division, the work has been done mostly in 2024, and we are going to reap some fruits of it in 2025.
Arben Hasanaj: And then a more specific question, so around nuclear power plants. Yes, if you could share how big of a business is this today? Do you see it kind of as a growth driver because there's kind of some renaissance going on there, not so much in Europe, but elsewhere. If you could share how you see that market.
Suzanne Thoma: We see the market in general, increasing because of the need of more energy and more CO2, less intensive energy. We are in a very small fragment in the nuclear energy, mainly surrounding the pumps for the cooling of the plants. We do -- we in Sulzer do not see a big hike there. I mean we all know about the project EDF in France. We will -- Energy de France, we will participate probably somewhat in it. We see more maintenance work for nuclear plants going on in the United States. We are not active in nuclear power in India and to the best of my knowledge, also not in China.
Unidentified Analyst: [indiscernible] from AMG. Maybe a follow-up on this free cash flow definition. Just to understand right, what it means for the equity provider. So you reported CHF 235 million, I think. And then we should subtract the leases and the management share buyback.
Thomas Zickler: Yes. If you have this view, yes. As I said, there are different views on the free cash flow definition. We have had also some calls about this topic. And as explained in comparison also because you raised the same question related to the free cash flow definition. And I checked it also with some of our peers and others in the market. We have different definition of cash flow and they deviate because of these two impacts. That's it. You can take it out for your calculation as maybe some others do it when they say in other areas, when they calculate our equity ratio, this was the question when we said, okay, when you take all the Tiwel things out, equity ratio would be even higher. In this case, then the real cash flow in your definition would be then a bit lower.
Unidentified Analyst: But the jump for these management share buybacks is quite significantly, goes from '23 to '24 up with like CHF 12 million. So what do you expect then going forward? I mean the leases is a bit stable.
Thomas Zickler: Yes...
Unidentified Analyst: But for shares for the management goes from 20 and a bit to 30 and a bit. What should we expect then going forward? Because on the 235, that's a sizable number. What do we expect going forward?
Thomas Zickler: On the treasury shares, I wouldn't expect a higher increase. We have around about currently 550,000 treasury shares now in our stock, being available for the PSP and RSU plans for the Board and for the executives for the next 3 years. We have a regular purchasing program on the market, but I would not expect that this is increasing. It's round about this number what you see for 2024.
Unidentified Analyst: So the CHF 30 million.
Thomas Zickler: And the answer is, because we increased our budget, we increased basically the KPIs, which have to be achieved. And therefore, we are not getting in the end more and more shares because we are getting higher and it's much more difficult in the future to achieve the targets. And this is why also this remains around about at the CHF 30 million level for treasury shares.
Suzanne Thoma: We also increased the number of people who can benefit from such programs. It's quite a few. We want to enlarge that base.
Alessandro Foletti: Thank you for taking my follow-up. Again, 2 questions. Maybe one, start with you again on the strategy. I saw this acquisition in Texas on the electromechanical business. And I thought it is interesting because electrification is booming everywhere. So is it something that you are willing to push, expand more, et cetera. So far, it has been a bit of [indiscernible].
Suzanne Thoma: Yes, that is indeed true. We also made an acquisition in Bahrain that is for electromechanical services. So we do see a growth, and we also see a nice margin development. Also, these are relatively small investments. So they are helping us in the resilience of the company. I would not see an explosion of that business going forward.
Alessandro Foletti: Right. And more in general, on M&A, last time, I think we spoke, you mentioned don't expect us to make huge steps, et cetera -- is this still there?
Suzanne Thoma: That is still the case. We are perfectly busy in executing on our strategy. We will probably make acquisitions that are adjacent to what we are doing complementary, but we are not planning and have nothing in the pipeline of a major acquisition for the time being at least, but that's for a long time now.
Alessandro Foletti: All right. Great. And maybe one for you, again on the gross margin. I saw what you have mentioned on the order gross margin. But when I look at the H1, H2, I think in H2 '24, it was a slight decline in the gross margin. Can you explain that and just...
Thomas Zickler: It is because of, say, many of these internal things which we have to do, which costs the one-off costs because we have now a gross margin of, I think, 33.5%. It went up 50 basis points for the year. And on this half year comparison, really, this -- you cannot do because you have so many influences where you have then more costs in the execution and where not. And also we have -- from an excellent perspective, we have, say, less -- what is it, less material, which we have to -- scrap material and so on. So actually, it should improve, but we also have some special effects coming from all these measures which we are taking. So actually, this number, you cannot use for a qualitative and quantitative really comparison of the gross margin development because we have too many impacts.
Alessandro Foletti: Right. So should I expect that like in '25, '26, then it starts to trend up, maybe not reach the 35%, but...
Thomas Zickler: It trends up for sure, yes. On a year-by-year basis, yes, but don't do this on a half yearly basis with the half year report. It makes no sense.
Alessandro Foletti: 35% is quite high also historically speaking. I mean, it's good, right? But I wonder if it can be reached at some point like for a full year in the P&L, 35%.
Suzanne Thoma: We are working on it. That's all I can say. Are there any other questions in the room? If not, then we ask if there are any questions from [indiscernible].
Unidentified Company Representative: Yes. I have three questions, all from Fabian Piasta from Jefferies that haven't been answered already. So the first one of Mr. Piasta is, can you please provide more information on the specific measures to drive margin growth in 2025 in Flow and Chemtech?
Suzanne Thoma: Yes, I can start with that. You maybe have something to add. We are moving from cost-plus pricing to value-based pricing and see that we can improve our prices, not everywhere. And of course, there's also pushback, but the general tendency is there. Secondly, of course, in the margin that we are speaking order intake, we also have a cost element. And since we are working very systematically on improving the operational excellence in the plants, having less quality, less cost of reduced quality, all these small elements that add up quite significantly. So it is now a question of good commercial excellence and of systematic implementation of operations improvements.
Thomas Zickler: Nothing to add from my side.
Unidentified Company Representative: And how are costs expected to move?
Suzanne Thoma: I don't understand the question.
Unidentified Analyst: Probably for Flow and Chemtech as well.
Thomas Zickler: And I answer as a CFO, there's only one answer possible. The costs can only move down.
Suzanne Thoma: If you look at what we are doing, we have had very good cost development in the OpEx area. Our target is -- not in the OpEx area, in the production-related costs, COGS -- in the COGS. And there is definitely some room of improvement in the OpEx area. That is something that we are tackling now, which we tackled less in 2024. We also tackled it less because it is a bit more difficult to do it. It takes projects that are a bit longer. And then, of course, you have to make sure you are saving smartly, and not stupidly. What do I mean with that? I'm speaking, for example, about the sales force. We should rather increase our sales force than decrease it, but we definitely can also improve the quality of the sales force and that cost you find in the OpEx.
Unidentified Company Representative: So -- and lastly, which end markets look most favorable for 2025? And which ones do you see under pressure?
Thomas Zickler: So most favorable, I still see turbo services across the world, the gas and steam turbine business here, when you see how long it takes to get a new gas or steam turbine, we have still waiting times for 3-plus years. So I don't see that this market is really impacted in the near-term future. So again, steam and gas turbines, I see really a good and most favorable market for 2025. When we look then also on the energy side, I still see a lot of orders possibly coming in our pipeline on the energy side. There's a huge demand for more energy. And then when you ask me where do I see markets under pressure, I'm still not certain about China, what will happen in China. This is why we have started, especially with Chemtech to see where they can compensate the downturn in China with other markets in the Middle East and Americas. Overall, I think from our portfolio, we are not so impacted by China when we look at our portfolio because we are very well allocated across the globe. But this is what I would see as the most critical market.
Suzanne Thoma: I would like to add one point, which we don't know exactly what's going to happen in 2025. And that is pertaining to our renewables, carbon capture, for example, sustainable aviation fuels. Biopolymer, yes, we have these large orders already, and we are working on others. So what we do see right now in our dialogue with customers is these projects are still alive and kicking. They are still happening. We also know that there is some pushback when it comes to green, maybe not around the globe, but some important countries. But we see no thinning out of the pipeline. But what all these projects have, most of them is you do need some regulation that supported or you need customers who really want to be more environmentally conscious or you need subsidies. And if this continues, our green business is going to develop extraordinarily well. If it doesn't come, then we see a good growth trajectory, but not in that sense, an explosion. Any other questions? Online now. Of course, people in the room can always ask another question. Please.
Unidentified Analyst: Since there was quite a big swing in net working capital, what do you expect going forward? Is this going to reverse or is?
Thomas Zickler: I expect that this is going to reverse and our net working capital is coming down to the level where we were 1 year ago. However, what you have to reflect is we are a very traditional industrial company. And we are growing now for 2-plus years, double digit in sales. So it's not so simple to make a statement that we have to easily then reduce net working capital because as I told you, we are sitting on a backlog of CHF 2.3 billion, and we are growing double digit. Yes, the target is clearly that next year when we stand here that our net working capital in relation to sales is back, say, to the '20-something level and not as it is now, '22, but nothing more I can here say.
Suzanne Thoma: Any more questions? [indiscernible]? No questions? Okay.
Unidentified Company Representative: Questions from online.
Suzanne Thoma: Yes, questions from online, please.
Unidentified Company Representative: No more.
Suzanne Thoma: Okay. Thank you very much. Any in the room? So if I don't overlook anybody, then that brings us to the end of our meeting. Thank you again very much for taking the time and for letting us present our company. We're very proud of what we did in 2024 and 2023, but we are even more enthusiastic about the future. Thank you very much.
Thomas Zickler: Thank you.